Operator: Good morning and thank you all for joining the management team of New York Community Bancorp for its fourth 2017 conference call. Today's discussion of the company's fourth quarter and full year 2017 performance will be led by President and Chief Executive Officer Joseph Ficalora; together with Chief Operating Officer, Robert Wann; Chief Financial Officer, Thomas Cangemi; and the company's Chief Accounting Officer, John Pinto. Certain comments made on this call will contain forward-looking statements that are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those the company currently anticipates due to a number of factors, many of which are beyond its control. Among these factors are: general economic conditions and trends both nationally and in the company's local market; changes in interest rates, which may affect the company's net income, prepayment income and other future cash flows or the market value of its assets, including its investment securities; changes in the demand for deposit, loan and investment products and other financial services; and changes in legislation, regulation and policies. You will find more about the risk factors associated with the company's forward-looking statements in this morning's earnings release and its SEC filings, including its 2016 annual report on Form 10-K and Form 10-Q for the quarterly period ended September 30, 2017. The release also includes reconciliations of certain GAAP and non-GAAP financial measures that may be discussed during this conference call. If you'd like a copy of this morning's release, please call the company's Investor Relations department at 516-683-4420 or visit ir.mynycb.com. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. You will have a chance to ask questions during the Q&A following management's prepared remarks. Instructions will be given at that time. To start the discussion, I will now turn this call over to Mr. Ficalora, who will provide a brief overview of the company's performance before opening the line for Q&A. Mr. Ficalora, please go ahead.
Joseph Ficalora: Thank you, Melissa. And thank you all for joining us this morning as we discuss our fourth quarter and full year 2017 performance. Earlier today, we reported diluted earnings per common share of $0.26 for the three months ended December 31, 2017, up 24% compared to the prior quarter and up 13% compared to the year-ago. For the full year, the company reported diluted earnings per common share of $0.90, down 11% from the $1.01 reported for the full year of 2016. For the current quarter, this translates into a return on average assets of 1.13% and a return on average common stockholders' equity of 8.21%. For the full year, the comparable numbers are 0.96% and 7.12%. On a tangible basis, the return on average tangible assets for the quarter was 1.19% and our return on average tangible common stockholders' equity was 13.45%. For the full year, the comparable numbers were 1.01% and 11.72%. We also announced that the Board of Directors declared a $0.17 per common share dividend for the quarter. The dividend will be paid on February 27 to common shareholders of record as of February 13. Based on last night's closing price, our dividend translates into an annualized yield of 4.9%. Now, turning to the highlights of the quarter. The company's fourth quarter performance was built on the performance we achieved in the third quarter of the year and is noteworthy in several ways, including our strong loan growth, a stable net interest margin, lower operating expenses and pristine credit quality. First, on the lending front. We originated $3.1 billion of loans held for investment during the quarter. That's up 34% from the previous quarter and 52% from the year-ago quarter. Our multifamily originations jumped 42% compared to the prior quarter and 76% from the year-ago quarter. Commercial real estate originations also rose increasing 39% and 21% respectively from the prior quarter and the year-ago quarter. The strong origination volumes translated into high single-digit annualized loan growth of 9%. Total loans held for investment increased to $38.4 billion, up $882 million from the prior quarter and $1 billion from the year-end 2016. The main engine of this growth continues to be in our core multifamily portfolio. As we have previously discussed, multifamily loans grew at an annualized rate of 4% in the third quarter and then grew by an even greater amount in the fourth quarter, increasing at an annualized of $28.1 billion. Importantly, as you can see by the various metrics in our press release, our underwriting has not changed. We continue to lend as we always have, both prudently and conservatively. Our pipeline currently stands at $2.3 billion, including $1.6 billion of multifamily loans and $290 million of CRE loans. This is up about $200 million from our pipeline last quarter, which at the time was the highest in two years. The pipeline gives us comfort about continued loan growth in the quarters ahead. Given where we stood at the end of the year, the company has the capacity to grow its balance sheet by approximately $5 billion, without crossing over the $50 billion SIFI threshold based on the fourth quarter trailing average of our total assets. This gives us ample room to grow the balance sheet over the course of the year as we wait for regulatory reform to pass and the SIFI threshold to be lifted. Importantly, after three years of not growing the balance sheet, we are currently well positioned to resume our organic balance sheet growth. Second, the net interest margin came in at 2.48% in the current quarter, down 5 basis points sequentially. Excluding the 11-basis point contribution from prepayment income, the net interest margin would have been 2.37%, stable with the third quarter level and better than management's expectations. Moreover, with market interest rates trending higher, we're seeing current coupons in our traditional five-year multifamily product of 3.75% compared to portfolio yield of 3.42%. While deposits and wholesale borrowings rose modestly, on a sequential basis, the majority of the growth during the fourth quarter was funded by cash, which was provided by the proceeds from the sale of our covered loan portfolio and mortgage banking operations. We will continue to primarily utilize this cash to fund our loan and securities growth this year. Third, on the expense side, our total non-interest expenses declined $14 million or 8% from the prior quarter's level and $22 million from the year-earlier quarter. This was also ahead of management's expectations. The decline was primarily attributable to lower compensation and benefits expense, given the sale of our mortgage banking operations in the third quarter. Moreover, as anticipated, we also experienced a drop in G&A expense on both a linked quarter and the year-over-year basis. Our efficiency ratio for the fourth quarter was 50% compared to 42% in the prior quarter. Excluding the $82 million gain on sale of our covered loans and mortgage banking operations, our third quarter 2017 efficiency ratio would have been approximately 53%. On that basis, our efficiency ratio improved by 300 basis points during the fourth quarter. We believe that, in 2018, there will be opportunities to drive operating leverage as we continue to grow the balance sheet and further reduce our overall level of non-interest expenses. Fourth, our credit quality metrics remain solid and continue to rank among the best in the industry. For the fourth quarter, net charge-offs were a mere 0.01% of average loans. For the full year, excluding the charge-offs we took for taxi medallion related loans, we would have reported net charge-offs of less than 1 basis point for all of 2017. On the income tax front, our income tax rate for the fourth quarter was about 6% due to one-time net tax benefit of $42 million arising from the Tax Cuts and Jobs Act. This included the remeasurement of our deferred tax liability using a lower federal tax rate. In 2018, we expect that our effective tax rate will be about 26.5%. Finally, on the regulatory front, we remain guardedly optimistic by what is coming out of Washington since last quarter and are encouraged by the progress which has been made on regulatory reform and the SIFI threshold. We believe that, in the current form, the potential changes will be a positive for both New York Community and the banking industry as a whole. On that note, I would now ask the operator to open the line for your questions. We will do our best to get to all of you within the time remaining. But if we don't, please feel free to call us later today or this week.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ebrahim Poonawala with Bank of America Merrill Lynch. Please proceed with your question.
Ebrahim Poonawala: Good morning, guys.
Joseph Ficalora: So, I was wondering if you could just start on expenses. Joe, so you mentioned the opportunity for positive operating leverage in 2018. When we look at the $149 million expense run rate for fourth quarter [indiscernible 12:03] if you can tell us in terms of where you see that going into 1Q. And beyond that, where those expense savings could come from and where that number could actually be headed by the end of 2018.
Thomas Cangemi: Good morning, Ebrahim. So, I would say that, obviously, Q1 is typically a high point for the typical calendar year. So, I would guide for Q1 at about $145 million, so down off of Q4 considerably. And, obviously, being the high point in Q1, we expect to see further reduction throughout 2018. So, it's fair to say that 2018 versus 2017, you'll see significant expense reduction. If you look at where the high point was for the company, it was about $660 million run rate. That was the high point. We estimated that we could – we guided a couple of quarters ago, down $60 million for mortgage banking. That number is close to $100 million now. When you look at the high point of $661 million versus the potential of a much lower run rate going into 2018 and beyond. I guess, the target for the efficiency ratio should be back to the mid-40s. So, somewhere between 45% to 46% by the end of 2018, we should end up, as far as the efficiency ratio.
Ebrahim Poonawala: Excellent. All right. So, the $660 million minus gets $100 million gets you to about $560 million annual run rate, give or take?
Thomas Cangemi: Look, for the quarter, our specific guidance for Q1 is about $145 million, so down from Q4. But bear in mind, Q1 is simply the high point of the year, given payroll taxes and the like.
Ebrahim Poonawala: Understood. And separately, just in terms of the core margin held up, we saw some outflows of non-interest-bearing deposits at the end of the year. Not sure if that was some seasonal or tax change related. But as you think about the margin for first quarter and next year, Tom, I would love to get your thoughts there. And if you can give us sort of a sense of what's the debt maturity coming up over the next few quarters?
Thomas Cangemi: So, we had some shuffling given the mortgage banking operation. We had settled up with partners in respect to escrow and the like, so that has an impact towards the movement of various deposit balances. So, we're going to be in the market for deposits in 2018. But that being said, as you can see, we do have some liabilities that had to reprice. We estimate approximately $4.6 billion that would have to be priced in 2018 on the liability side. Actually, $4.1 billion this year and $4.6 billion next year. So, if 2018 is about $4.1 billion, and that's going to be ratably per quarter, so about $1 billion per quarter approximately will be repricing with the marketplace, depending on how they extend that duration. If you're looking at the two-year market, if we do not raise deposits for that, that's around 2.50% type cost of money, 2.45% to 2.50%. If we raise deposits, that's going to be probably somewhere just slightly south of 2% depending where rates are. So, as far as margins are concerned, I would say, given that the rate hike came in late in the end of the Q4, so we're going to get the full impact of the most recent rate hike. Possibility of another rate hike coming in in the next few weeks in March. We're looking at probably down at another nickel, going into Q1. And like I said in my previous calls, each rate hike has about 5 basis points of a negative impact to our go-forward margin. Last quarter, we had some benefits as far as the loan coupons. It was slightly better than expected. I think that's kind of – going to be the story for 2018 and beyond. The loan coupon appears that it has bottomed. We did a ten-year analysis of our loan book and it looks like the 3.41% was the historical low for the company. We produced a 3.42% this particular month. As we look forward with the coupons in the pipeline at 3.69% as the current yield, and as Mr. Ficalora indicated, we have about a 3.75% offering rate out in the market. That's up two-fold in the past four or five weeks. So, it seems like rates are rising in the states, which will be the beneficial for the opportunity to raise the coupons in the portfolio. So, we're hopeful for that. As well as putting the cash to work. We've been putting the cash to work actively. We're being very patient. But you can see the security book increased about $500 million linked-quarter basis. That will be an ongoing increase as we rebalance our securities portfolio to normalization, which should be beneficial towards yield as well.
Ebrahim Poonawala: So, is that the pace of – I guess, you had about $2.5 billion in cash at the end of the year. So, is $500 million per quarter is the right way to think about in terms of investing in securities?
Thomas Cangemi: We were very cautious on putting the money to work in the securities. We have a very strong loan pipeline. The pipeline was strong. It's actually very strong going into Q1. So, obviously, our priority is to continue to utilize the cash to put into our loan book and then, ultimately, start growing the balance sheet further. With that being said, there were some good opportunities in the securities market towards the latter part of the year. And in the current environment, those opportunities look even greater. So, we will put on, over time, an increased balance. We're not going to do it all in one quarter. We will do it over time. But for the big picture, we should be somewhere between 15% to 17%, not 6%, 7%. So, as you recall, if you look at the peer group, 20% is the typical peer group for our industry with respect to securities to total assets. We are still well below that. So, we have to deploy that over time. We like the fact that rates are higher. We like the fact that we're able to swap out some of our lower-yielding securities that we exited during the quarter to enhance the coupon of the portfolio. We actually had a bump up of about six basis points in the securities yield at quarter-end just by moving around the portfolio. So, we've been very active. Although you don't see the growth in the portfolio, we've been active.
Ebrahim Poonawala: And what's the yield, Tom? Like, if you went to the market today for the type of securities you're buying, what would be the coupon on those?
Thomas Cangemi: So, right now, it's still in the low 3s. But two quarters ago, that was high 2s. So, it's a nice bump up. So, low 3s.
Ebrahim Poonawala: Understood. Thanks for taking my questions.
Thomas Cangemi: Sure.
Joseph Ficalora: Thank you.
Operator: Thank you. Our next question comes from the line of Ken Zerbe with Morgan Stanley. Please proceed with your question.
Ken Zerbe: Great, thanks. Good morning.
Joseph Ficalora: How are you, Ken?
Ken Zerbe: I'm doing well. Thanks. Joe, you've talk about being well positioned to grow the balance sheet for the last few quarters, but I know growth accelerated a little bit this quarter, but still let's call it modest on a net-net basis. Should we, at this point, really only expect meaningful growth or sort of growth over the $50 billion if the SIFI threshold gets raised?
Joseph Ficalora: I think there's no question that there is a variety of possibilities out there that the final rules when written will, in fact, have an impact that would be different on banks that are already over $50 billion versus banks that will be coming over $50 billion. So, we're being somewhat cautious in our approach of the $50 billion mark, but we do believe that we have room to grow as has been indicated, I guess, for several quarters now. We have billions of dollars of growth that we could average into that will, in fact, enhance our earnings and not trigger our being characterized as being a $50 billion designated institution. So, it's important for us to manage that reasonably well. But I think the important message here is that we are going to grow by billions and that growth is not going to trigger something precipitous.
Thomas Cangemi: Ken, I will just add to Joe's comments there that, bear in mind, the first phase of our growth is net portfolio growth. We are utilizing the excess cash liquidity from the sale of the mortgage banking operations covered asset portfolio. That was about a $3.2 billion balance. Now, we are in the low 2s. That will be until a point where we have enough liquid cash in the balance sheet and we'll start moving to portfolio growth. With that being said, we have our expectation to grow the balance sheet every quarter and be very mindful of tripping over the SIFI threshold, as we indicated in Joe's prepared remarks. We can go up $5 billion this quarter and trip over SIFI. So, we have room this quarter. We can blend that throughout the year and have them throughout the year before the trip over the SIFI threshold. We're very hopeful that there is some movement in Washington and that threshold is moved. When that happens, it will be of a faster pace of growth.
Ken Zerbe: Got it. Okay. And then, Tom, if I heard you correctly, just on the answer to one of the last questions, did you say that if you actually grow using deposits versus borrowings to reprice the $4 billion of liabilities, your deposit costs would be just under 2%? That seemed a little bit high. Is there anything unusual with that?
Thomas Cangemi: Just quoting market yields, Ken. If you go into the market right now, if you look at the CDs, we're a traditional thrift model, CD costs are just around 2% for the one-and-a-half to two-year type money.
Joseph Ficalora: We're talking about new deposits, not the portfolio.
Thomas Cangemi: Not the current portfolio.
Joseph Ficalora: Right.
Thomas Cangemi: So, we would be looking to – comparing that with the Federal Home Loan Bank offering of 2.50% for the same duration, plus 12 basis points for FDIC assessment fees. It's more attractive to bring in deposits.
Ken Zerbe: Got it, understood. Okay. And then, just question. Joe, can you just talk a little bit more about the broader CRE, multifamily market. Like, I know you guys are disciplined, right? That goes without saying. But I'm curious, what's happening in the rest of the market? Is the market getting better, worse, more aggressive, not?
Joseph Ficalora: I think that as a market elongates, and this has been a very long positive market, you have various changes in valuations depending on the plateau at which the properties are being discussed. There are properties in our market that are way overpriced. There are people that are lending in our markets that are aggressive and have been for years. Those properties are going to wind up in some difficulty. We've been very, very consistent, for actually decades, in how we lend and there are no deviations in the product type and in the valuations in our portfolio. So, even though the market changes, we do not change. And therefore, the ability for us to appeal to certain property owners is very consistent. There are property owners that are willing to take less from us today, so as to have more available tomorrow, so as to refinance to buy. They don't buy the property they're in. They already have that property. They want to use their cash flows in our portfolio that will be refinanced to buy discounted, foreclosed properties in the marketplace. It inevitably happens and the people that have the greatest portfolios for us to lend upon, in fact, successfully have done this cycle after cycle. So, I think we're in a very, very good place. And I'd say to you that this cycle has been elongated by all of the positive obvious things that are happening with the economy. The elongation of the positive cycle does not in any way change the inevitable. The cycle will turn. And when that occurs, we will be well-positioned to lend more money. It's not something that we're failing to anticipate. It's very consistent with our expectations.
Ken Zerbe: All right. Thank you.
Operator: Thank you. Our next question comes from the line of Dave Rochester with Deutsche Bank. Please proceed with your question.
Ken Zerbe: Hey, good morning, guys.
Joseph Ficalora: Good morning, Dave.
Ken Zerbe: For your efficiency ratio guidance, what are you guys assuming for rate hikes in the year? Is it just that March hike you mentioned or are you including others?
Thomas Cangemi: Again, we expect that there is going to be ongoing rate increases. Two to three this year. So, in our current model, it's two rate hikes in 2018 and they go to three. If it's three, then we have another 5 basis points of potential compression. It all depends how the loan coupon reacts to that, Dave. So, obviously, the sloping curve has been encouraging, but we were surprised to see the pickup in a couple of basis points in respect to the overall loan yield to the quarter. So, that actually helped us beat based on our original expectations our margin guidance in the previous quarter. So, we really have a unique situation given the magnitude of potential refinancings within our own portfolio, given the low coupon. If that coupon starts to get closer to 4%, we believe customers will react favorably, which will help mitigate some of this pressure. But, again, right now, it's two. If it's three to four, it's going to – it's anybody's guess right now. It's a very moving target. But I would say, for internal modeling purposes, we were expecting two. And more likely than not, I think the three is probably coming. So, there may be one in March and maybe one in June and then perhaps another one at the end of the year. But it's all – again, we are watching this as closely as you.
Ken Zerbe: So, is the guide for the NIM in 1W 5 bps down or is it just the rate hike impact you are expecting?
Thomas Cangemi: Again, I don't give elongated guidance of the NIM. And we've been pretty consistent over the few years. We expect that we have 5 basis points NIM compression this quarter, driven by the most recent rate hike as well as some other moving parts, in particular liabilities. We have about $4.1 billion coming due this year. We have to put out longer-term given where our interest rate risk position is, and we've been pushing that out longer in the curve. If that is replaced with local cost deposits, that could also be a potential benefit for us. So, we're studying that very carefully. We believe that we will be active in the deposit market. This will be probably the first year in a number of years where you see deposit growth because over the past three and a half years we have grown the balance sheet. The balance sheet has been – pretty much just under $50 billion for that long. So, we've been holding our growth. We've been selling assets. Hopefully, those assets that we've participated will be coming back to participations we'll put on our portfolio at higher yields.
Ken Zerbe: And you mentioned, on the deposit growth front, do you expect deposit growth – I guess, you don't expect deposit growth to exceed loan growth because you've got a lot of cash you can invest in loans. So, would you expect the loan-to-deposit ratio to continue to increase this year.
Thomas Cangemi: We're very comfortable with that. The strategy is to exhaust the excess liquidity resources from the sale of the mortgage banking operations in the covered portfolio and then start to grow the balance sheet funded by deposit growth. That's the plan for 2018. And how much of that cash do you think that's left that you can invest in it? Do you have to keep any of it on the balance sheet or can you invest all of it?
Thomas Cangemi: We probably have another billion to a billion and a half of liquidity that we've been putting into loans and securities. So, depending on the pace of that – obviously, if the security market is attractive, we'll be more active in the securities market at the same time as loans simultaneously. In particular, this quarter, you saw that we moved the cash balances down. But part of that was attributed to securities and loans.
Ken Zerbe: So, I would think by the end of this year, that excess cash will be gone and invested, right?
Thomas Cangemi: Hopefully, by the end of the quarter.
Ken Zerbe: By the end of the quarter, okay.
Thomas Cangemi: Let me just be clear with that. The pipeline that we announced this morning, 82% of that is new money. So, depending on what amortizes and pays off, we have a very strong new money pipeline. It's not a refinancing pipeline. That's negative for prepayment, but very positive for portfolio growth. So, having an 82% net new money pipeline going into Q1, which typically is a slow quarter for the company, that's very encouraging for future growth of the portfolio.
Ken Zerbe: Yeah. Where are you guys seeing securities purchase yields at this point following the uptick in rates?
Thomas Cangemi: Most res. We've upped the coupon. We've sold some low-yielding portfolio assets in the fourth quarter and we've replaced with higher yielding. So, net-net, the portfolio picked up about 6 basis points on approximately $3 billion of assets, which is a nice low-yield pickup going into 2018. We do have some low-yielding securities we may swap out into higher-yielding securities. But as the market continues to be attractive, we will invest very patiently. This is not going to be a one quarter activity. This is going to be an ongoing analysis of a rising rate environment. We see the curve start to shape very nicely for us and the securities yields are approaching to the low 3.20ish. That's a lot more attractive than it what two or three quarters ago, which was in the high 2s.
Ken Zerbe: Yes. And then, one quick one on the – back on the expense guide. Where are you seeing more of the cost save opportunities going forward to drive that OpEx figure down to 145. Are you consolidating branches at all or making any other –
Thomas Cangemi: The two-thirds of the initial phase was exiting the mortgage banking business and the covered loan book in what was a substantial operation. That is going to be completely finished this quarter. So, that's 100% of the cost synergies will be done in Q1 2018. So, going forward, you'll get more benefits on that. But more important, we've spent substantial dollars getting ready in position to close on the Astoria transaction, getting the company SIFI ready, and, obviously, that did not happen. So, we were at a $660 million run rate at the high point. That is not indicative how they could its franchises. It's too high for the type of business that we model here for the company. So, having $660 million run rate, bringing it down to a $560 million run rate, that's a $100 million off the high run rate, which is kind of what we were thinking when we actually exited the mortgage business. So, that's an achievable number for us. So, we've done some good work in Q4. We're guiding down lower in Q1 – Q1 2018 as far as $145 million run rate. That should be the high for the year. So, hopefully, we'll continue to be very proactive – we do see consulting expenses. A lot of expenses relate to preparing ourselves to crossover. The crossover hasn't happened. And it appears to me that Washington will be pulling back a little bit on regulatory intervention and this should be very favorable for us, the banking business as we know it. So, SIFI cap gets raised. Enhanced credential standards being somewhat different for a bank of our size versus someone who is 250, we should get some benefit there.
Ken Zerbe: Yeah, okay. Great. Thanks, guys. Appreciate it.
Joseph Ficalora: You're welcome.
Operator: Thank you. Our next question comes from the line of Peter Winter with Wedbush Securities. Please proceed with your question.
Joseph Ficalora: Good morning, Peter.
Thomas Cangemi: Good morning, Peter.
Peter Winter: Coming out of third quarter, you were looking for mid-single-digit loan growth for 2018. And I'm just wondering, given the strong growth at the end of the year, what the outlook is for 2018 if it's improved.
Thomas Cangemi: So, obviously, we are very mindful of the balance sheet and given the current position in Washington. If Washington's acceleration on moving the cap happens sooner, then we may change our focus. But mid-single-digit for net multifamily loan growth is very reasonable. Bear in mind, our C&I book is growing at a 75% CAGR over the past five years for specialty finance. So, we're up 22% year-over-year in that business. And they've done a phenomenal job up in Foxborough, Mass. for us. It's been a phenomenal business for us. It's growing very nicely. And we'll see some good growth there. But, clearly, the big benefit for the bank, given the size of the portfolio, is the multifamily book and we're seeing some good pipeline for us right now. So, as I indicated, 82% of that is new money. I don't want to give a full year guidance, but I think it is reasonable to model a mid-single-digit growth rate for multifamily. Remember, the balance sheet is growing around 4% or 5% based on just normal modeling, based on the cash position we have. That could change depending on the view of $50 billion. So, if that happens to be an accelerant and that goes away sooner than we expect, we could be growing the balance sheet more actively.
Joseph Ficalora: Obviously, growing the balance sheet is growing the earnings. They go hand-in-hand. So, it is highly desirable for us to do this sooner rather than later.
Thomas Cangemi: Going back to the previous three and a half years, the securities portfolio has been cut substantially from 20% down to 6% to the low. We have to replenish that over time. We should be somewhere between 15% and 17%, in that range, maybe 12% to 15%, not 6%, 7%. So, that's going to be balance sheet growth and we utilized the reduction of that portfolio to manage ourselves very carefully around the SIFI threshold. So, as that SIFI threshold eventually gets lifted, we were hopeful we could then restore the balance of securities and continue to see signs of good loan growth, which would have nice balance sheet growth as well.
Peter Winter: And then, Joe, just with regards to M&A, we've heard from a few banks already that M&A activity has kind of taken a pause as potential sellers are trying to reassess what the impact is from tax reform. And I'm just wondering what you're seeing on the M&A side.
Joseph Ficalora: I'd say, in the broad picture, the environment is such that there are many, many banks that have been buyers and sellers over the course of the period behind us, who are assessing the changing environment in front of us. There will be a place at which many banks will decide to do combinations that are beneficial to their shareholders. We among them. The reality is that when that exactly occurs may be driven in many, many ways by the external factors, where the regulatory world is based on the law as the law changes and so on and so forth. So, I think that you will find that when the opportunity presents itself, there'll be plenty of people who have the opportunity and the desire to combine. It's just that we're all in the waiting game here. And it'll take a little while for that to evolve.
Thomas Cangemi: Yeah. And just to add to Joe's comments, tax was the fourth quarter waiting game. Now, it's fair to say that, if they make some move in here on the threshold, that will also be a very unique position for M&A players to assess. In fact, if it's going up significantly, you'll see more activity.
Peter Winter: Got it. Thanks very much.
Joseph Ficalora: Thank you.
Operator: Thank you. Our next question comes from the line of Steven Alexopoulos with J.P. Morgan. Please proceed with your question.
Steven Alexopoulos: Hey, good morning, everybody.
Joseph Ficalora: Good morning, Steven.
Steven Alexopoulos: I wanted to start on expenses. Given the commentary around moving expense levels down in 2018, are you guys not expecting to reinvest any of the tax benefit back into the business on items like tech spend, minimum wage, et cetera.
Thomas Cangemi: So, look, banks are still licking our wounds from the expense bill for the past two and a half years. Again, even knowing the franchise, $660 million run rate for the company is just way to high, not how we run our business. So, we have substantial amount of opportunity to not have reoccurring costs that were kind of one time or, we'll call it, unique investment expected that we'll put in place to get ourselves to get ourselves to a position to close and move forward into a SIFI threshold position. That's behind us, we believe, for the most part. And, obviously, as we talked about the fact that costs relating to regulatory oversight, in our opinion, will be somewhat diminished as the regulatory world starts to look at larger banks, different than all banks of our size, given the threshold move and the like and enhanced credential standards being shifted towards the largest institutions. We believe there's a lot of room there. With that being said, the company is very focused on getting back its lower efficiency ratio. That's the priority for stockholders right now. We have had a very difficult 2017. We're looking forward to that transition here, going into with growth on operating leverage and we're going to continue with the operating leverage plan, which is reducing expenses and managing ourselves back to a better profitable position.
Steven Alexopoulos: Got you, okay. On the New York City multifamily market, we've had several banks fairly recently exit the market. BankUnited was the most recent example. On their call, they cited, and I'm quoting, terrible margins as behind the decision to exit the business. So, two questions. One, can you comment on the margins for your business? Do you get materially better margins than other banks which are exiting? And two, with these banks leaving, does that then give you a better opportunity to grow the book?
Joseph Ficalora: I think there is no question that their departure, whatever the reasons may actually be, is favorable to us. And the evidence is they're discussing why they're not doing lending in our niche. And we're discussing record levels of lending in our niche. So, the obvious is there. As they depart the market, we will do more in the market. Their departure has nothing to do with the way we lend or the kind of properties we lend on. The reality is that we are very, very consistent. The most important people in our market are the people that have been in our portfolio for decades. Most important people in our market are the people that actually take less from us rather than getting more somewhere else. And they're the people that will be refinancing with us in the period ahead as the cycles evolves. So, I think the business model that we've consistently articulated is sound and we are demonstrating that we can grow in this market as it's evolving. Whatever the reasons may actually be for other people leaving the market, that's their issue, not our issue. Their departure, however, clearly means they're not doing loans. And if they're not doing loans in our niche – they may be doing other loans, but if they're not doing loans in our niche, there's just more for us.
Thomas Cangemi: Steven, I will just talk about spreads and margins. I mean, the big picture is that we love to get 150 spreads. We'll target about 125-ish and that's pretty attractive when you're putting out a 3.5-year average life or 3.2-year average life and looking where the yield curve. The bump up in the yield curve has been attractive for us in the past few weeks here. And again, there's no guarantee that's going to be the current curve going forward. But 3.75% coupon is reasonable when you compare to other types of investment yield. And given the pristine asset quality, if it's underwritten prudently, we believe that this business model, spreads will be somewhere between 120 to 150. Typically, we've seen – five years ago, when the five year was at 67 basis points, spreads were wider. They got 3%. So, it's been somewhere between 3 to 3.25. And as the agency market, which is really pricing their product at the back end of the curve starts to not be as attractive, you'll see more customers go back to the portfolio lenders because the absolute coupon from the government is too high. So, that's another encouraging sign of more potential business for us in the quarters ahead.
Steven Alexopoulos: Tom, given your recent chart move in the five year, are you seeing a rush to refi? Is that happening or have rates [indiscernible 38:00]?
Thomas Cangemi: I'll tell you what we're seeing. Increases to our interest rate offering in the past two or three weeks has been a rush of applications. So, I think customers are mindful that the offering is no longer 3.5, 3.75 for the, we'll call it, the pristine five-year type quality paper. 4.25 for normalized commercial-type paper, five-year duration. So, I think if you think about the movement in the rate offering, it's getting attention. And it's not just NYCB. It's all of the banks are raising their rates because the marketplace is much higher as far as spreads and coupon. So, I think this is encouraging. It's a short period of time, but if this continues throughout the spring, into the summer, my guess is that customers will realize that 3.75% could be 4%. And that may be the significant catalyst to come back to at least get your next block of refinancing for the next three or four years.
Joseph Ficalora: So, I think the important thing to recognize here, prepay tells you the speed of refi. Our prepay is very, very low. So, there's not rapid refi. We're gaining share of market because of what we discussed earlier. So, we're taking share of market because others are not lending in the market and we're not seeing prepay. Prepay may come later. But at this particular point in time, owners are not rushing to refi. So, prepay is the single best indication of whether or not people are actively looking at rates going up and literally being willing to pay a prepay against a potential for a future higher rate.
Thomas Cangemi: But if you accelerated [indiscernible 39:36] was definitely a positive trend that we're seeing.
Steven Alexopoulos: Okay, great. Thanks for all the color.
Joseph Ficalora: Sure.
Operator: Thank you. Our next question comes from the line of Collyn Gilbert with KBW. Please proceed with your question.
Collyn Gilbert: Thanks. Good morning, gentlemen.
Joseph Ficalora: Good morning, Collyn.
Collyn Gilbert: Just to quickly follow up on that comment, Joe, and Tom, obviously, but with your mid-single-digit loan growth outlook for 2018 and, Tom, given sort of the landscape that you've just described, what are you assuming in sort of paydowns or prepayment activity just broadly. I know you're not – I'm not asking for type projections, just broadly.
Joseph Ficalora: We've said this for decades. We cannot actually foretell the speed with which prepay will occur. There are so many complex reasons why individual owners choose to pay a penalty to refinance their loan. And in the current environment, our prepay has been very low. Prospectively, it could very well be that we will not see an acceleration in prepay for some reasonable period of time. But having said that, we have plenty of access to good quality assets and we expect that we will increase our loan portfolio over the period ahead because we do believe that we are in a very good place to competitively win deals.
Thomas Cangemi: So, Collyn, I would say, obviously, less prepay means higher loan growth, right? So, 5% becomes a higher number because the prepayments are less than expected. But, again, as Joe indicated, it's very difficult to estimate who's going to pay off. We have a good indication of how much is coming due that actually went to the final year. And those loans typically – they're going to stay with us or go elsewhere, they have to do something in this period of time at a higher coupon, by the way, which is always a positive thing. What's encouraging is the coupon in the portfolio went from 3.41% to 3.42%. We haven't seen an uptick in a decade, which is a really positive sign for a very large book of business. That will continue, we believe, at these current market rates. If the market rates go higher, that will be more of a profound effect to help stabilize the margin, given our interest rate risk position and help us move the ship towards a positive direction towards margin stabilization. So, we're encouraged by the 10-year trend of a downward coupon to the first signs of an upward coupon in a higher rate environment. So, we're very optimistic about that portfolio yield changing. I believe that as rates continue to rise, you'll see customers react favorably. And like I said before, my previous commentary to the last caller, we're seeing a very strong out bill [ph] based on the sentiment that rates are going to be higher, which is good for us.
Collyn Gilbert: Okay. That's helpful. And then, kind of along those lines, I guess I'm a little surprised, Tom, that the core NIM projection or guidance or talk or whatever for the first quarter, at least in the near term, in the beginning part of this year is not higher, right, just because, as you said, you've got $1.5 billion of cash sitting at 1%, just over 1%. I would think the reinvestment of that would certainly offset any of the funding pressure you expect to come in the first quarter.
Thomas Cangemi: Let me address that and give a little bit more specificity around what happened in the quarter. Obviously, we had a late rate increase in December. That impacts a substantial amount of our deposit flows. In addition to that, we moved about $2.3 billion of maturities of Home Loan Bank advances two years out. So, that also impacts the future quarter. So, 5 basis points is reasonable. Let's hope that we once again exceed our guidance and perform a better number. But we're trying to be conservative. We want to make sure you're comfortable that, given the nuances on the moving parts within our balance sheet, we have a lot of cash we're putting to work. If it accelerates quicker than the margin will stabilize, then five, maybe four, but three. But we had a pretty good showing when we had a 5-basis point expectation for Q4 and we came in flat. There has been some interesting dynamics in respect to the loan book. If that continues, that will be part of, hopefully, to the upside surprise. In the meanwhile, we'd like to – we want to be conservative. We want to go into 2018 as a transition year from 2017 and going into growth in the balance sheet and growth into the loan book, we had $5 billion of paper that we participated out to the marketplace. That's $5 billion is ripe to come back in the next 12 to 18 months. We should get the lion share of that refinancing and hopefully that will continue to be favorable toward stabilizing the margin. Those are all in the low 3s, those types of coupons. So, we're cautiously optimistic, but we want to be conservative in respect to our guidance.
Collyn Gilbert: Okay. Okay, that's helpful. And then, you had mentioned the cost – the borrowings that you – the $4.1 billion that are coming in to reprice this year. You mentioned maybe where they would – the pricing would go to. But where are they currently – what is the current cost of some of those?
Thomas Cangemi: For 2018, it's about 1.60 on average.
Collyn Gilbert: A blended 1.60 on that –
Thomas Cangemi: So, that's also on our guide down to the margin.
Collyn Gilbert: Okay, right. So, that's coming in – yeah, either repricing is going to be – this cost – okay.
Thomas Cangemi: And I indicated it was successful in bringing in deposit funds to offset some of that. That will also benefit the margin because, obviously, when we bring in that money on the Home Loan Bank and to other repo market, it also costs 12 bps of an FDIC assessment fee, given the nature of the liability. So, it's definitely more attractive to bring in deposit funds to grow the balance sheet in addition to dealing with repayment of the current flows of Home Loan Bank advances.
Collyn Gilbert: Okay. Okay, that's helpful. And then, just lastly, the securities outlook, right, 16% to 17% at some point of assets. I know you said it's going to take time. But, obviously, that's a big – it's a big balance sheet build. And I don't even have a fraction of that in my estimates for 2019.
Thomas Cangemi: We had a big balance sheet shrink. So, we're trying to just restore ourselves.
Collyn Gilbert: Absolutely, right? But my question is capital, right? That's, obviously, going to eat into capital. So, how are you thinking about kind of the capital structure and maybe where you would add to it as you look out over the next – this year and next.
Thomas Cangemi: Again, we're at the highest capital position in eight years for the company. So, we're very comfortable [indiscernible] and we should address – if we're going to go into securities market, that's a 20% risk weighted asset. Not a 100% risk weighted asset. Obviously, the priority for the company is to restore its loan book, restore securities over time. We could easily build the securities book very rapidly. We're being very cautious given a long history of lower interest rates. We understand that the impact of the securities portfolio and its duration risk, so we're being very cautious on that growth. We will readily be into the market over time. The priority for the company is to build the loan book and put the cash flows that we have that were in previous loans into our core loans, which is multifamily, rent-regulated apartment houses. That's the strategy. At the same time, we will – over the next few quarters ahead, you'll see gradual build of the securities book depending on market conditions. If, for example, rates are substantially higher, we may be more opportunistic on the securities side. But we're going to be very, very cautious as we continue to enjoy a better sloping curve and a higher yield environment.
Collyn Gilbert: You'll still need to comply with LCR once you cross $50 billion.
Thomas Cangemi: We're hoping that $50 billion LCR, all that stuff will be sorted out in the quarter or so with Washington and there'll be some positive changes for banks of our size.
Collyn Gilbert: So, you're hoping that the LCR component will change.
Thomas Cangemi: We are running a modified LCR component, as we speak today. We're approximately 96% compliant there in our balance sheet form. As we put on selected securities, we modify the view of that. It's all liquidity to us. So, we believe, over time, that if they do change the SIFI threshold, they will address LCR concerns and we should be, hopefully, under the modified version of that. We should be fine.
Collyn Gilbert: I'm sorry. You said, Tom, you're –
Thomas Cangemi: Very fluid as far as what's in the determined $50 billion versus $250 billion or securities portfolio $100 billion, whatever you decide the new threshold will be. If it's, say, $50 billion, we'll deal with LCR requirements. Right now, we're assuming there is going to be some real regulatory reform in the quarters ahead.
Collyn Gilbert: Okay, okay. All right. I'll leave it there. Thank you.
Thomas Cangemi: Sure.
Joseph Ficalora: Thank you.
Operator: Thank you. Our next question comes from the line of Matthew Breese Piper Jaffray. Please proceed with your question.
Joseph Ficalora: Good morning, Matt.
Matthew Breese: I was just hoping you could talk a little bit about the commercial real estate multifamily environment from a transaction perspective. Read a lot about transaction volumes being down significantly in 2017, but just wanted to get a more recent update from what you're seeing in 2018 and late 2017?
Thomas Cangemi: So, Matt, obviously, we had some – a landmark tax reform package put in place in the fourth quarter of 2017. That's a tremendous amount of, we'll call, real estate math one has to determine in order to be looking at moving portfolios around. I mean, having the 1031 survive, having the fact that depreciation has been significantly accelerated for commercial real estate investors, the fact that the commercial real estate investor is the substantial winner of the tax reform package is very positive for commercial real estate. With that being said, you have years of significant transaction activity going into the end of 2017. So, there was a clear 40% slowdown in activity. We believe – we're hoping that that this will now see some life towards the real estate end market because it's a very attractive tax advantage business to be, given the most recent changes in the tax code. So, we're very encouraged by that. We don't drive that. We just lend to it. And we're seeing some very positive signals that people are looking at opportunities in that environment. So, we think property transactions will start to pick up if you compare 2018 versus 2017.
Joseph Ficalora: I was just going to say, there will be plenty of opportunities for us to actually lend into this evolving marketplace. The good news is that the methods by which we value assets are going to be favorably impacted by some of the changes which have now been put in place. This is going to good for us in lending.
Matthew Breese: And do you have a view on – given the backup in rates and substantially low cap rates across your footprint, what the impacts would be there and potentially devaluations down the road?
Thomas Cangemi: I would say simple math, right? As cap rates go up aggressively, valuations come down. But, again, tell me where interest rates are going to be two years from now and we'll give you a better view on cap rates. I think, in general, rates are still relatively low. If it goes to 4.5%, 5%, it's still relatively low when you look at it historical basis. World interest rates are still relatively low. So, I think borrowers are still excited that they can borrow money at a reasonable rate. Cap rates, they're not moving up lock, stock and barrel with the shape of the curve. There's always a significant lag there. And I think that's the catalyst for customers to react. The expectation that they're going to miss the opportunity to take what they've created, which is value creation on enhanced rent roll because of a cap rate movement and valuation decline, they will transact sooner rather than later. We will get more points sooner rather than later. And we will see growth. We are lending to the rent-regulated space. So, if you look at the NOI build over the past 20, 30 years, there has only been one year of decline in the NOI, which was after 9/11. So, you have a unique niche market. We're not lending to the market rate. We're not lending to market rent growth in New York City. We are lending to a very unique niche, which is a very long historical nature of NOI build year-over-year despite changes in the economy, despite interest rate movements. So, we are encouraged by the fact that customers will react if rates go higher. There will be enough lag time on the cap rate to get the broker to bring the borrower to the table to get their next refinancing, assuming they are building the NOI which has always been part of our assumption. That's our business model. We lend to NOI build knowing that there's going to be upside potential.
Matthew Breese: Right, got it. Okay. And then, could you just remind us of where you are from a commercial real estate concentration standpoint? And given your outlook for growth, are there any limitations on what you can add there, given the agreed-upon cap?
Thomas Cangemi: So, we do have a public cap. We know what that number is. And, right now, we are well below that cap. So, we believe that – with our current capital position, assuming we make no additional capital, assuming there is no income in excess of what we pay out on our dividends, we still have room for well over 50% growth of the portfolio. So, we're not growing 50% this year nor do we plan to grow 50% this year, but it gives us comfort that we have room under the cap. And we also plan to make excess money than what we're paying out in dividends. So, that will be some capital build there. So, we're comfortable with where we are. We wish we didn't have a cap, but it is what it is. And we managed to a threshold slightly below that internally and we're very comfortable that we have room within our current capital position to continue growing the business.
Matthew Breese: Understood. Okay, that's all I had. Thank you.
Joseph Ficalora: Thank you.
Operator: Thank you. Our next question comes from the line of Christopher Marinac with FIG Partners. Please proceed with your question.
Christopher Marinac: Good morning, guys. I just wanted to ask about deposit mix and is that something that can influence this year just given the discussion this morning on deposits and the beat there.
Thomas Cangemi: I would say that we have to be very proactive on looking at our growth. The first stage of the growth in going to be cast employment. Second phase will be growing the deposit base. As I said in multiple previous commentary that the Home Loan Bank and the repo market is expensive compared to the deposit market and we have to look at that in a true cost position. Paying the actual FDIC expense for that drives our operating expenses up. So, we are very active looking at being in the marketplace in all aspects of that. What we haven't been successful on, which we like to be better on, is getting deposits from our customers. We have tremendous relationships and we have low-lying fruit that's out there. It's a possibility, but something that would be the best source of funding. Absent that, we have a traditional thrift franchise. And typically, traditional thrifts tend to be in the CD market when they are looking to grow their deposit book. And, obviously, savings and the like would be a much more lower cost of funds, but if we wanted to readily grow the deposit base, we will be in the CD market in the market, which will be probably at the high-end of the market range. So, if 2% happens to be the high cost of money, we will be at 2%. If it's at 1.80%, we'll be at 1.80%. We're not going to be at 1.40% and expect to grow deposits. So, we're going to be proactive. The good news that is that, if we are very proactive and we pay down some of our borrowings, it's accretive to the margins because our margin expectations of a much higher cost on repricing our Federal Home Loan Bank advances and the repo book as well.
Joseph Ficalora: But I think an important thing to recognize, we have the unique benefit of five markets in which we compete for deposits. So, the cost of deposits because of the competitor across the street may be very, very different in Manhattan versus in Arizona. So, that is a tool that we actually have that gives us some measure of flexibility as to the cost of deposits as we go down the road.
Christopher Marinac: Great. That's helpful.
Thomas Cangemi: Just to be clear, the best source of deposits historically to the company has been through acquisitions. So, that's been the model. We haven't successfully closed on the Astoria transaction. That's behind us. But that would have been a very unique source of deposits for us. So, clearly, historically, that's been the source of funds for the bank in our acquisition model, but we have to be in the current environment, where we are, and we're expecting to grow this year and there is not a deal announced. So, we have to make sure we could fund ourselves through deposit growth.
Christopher Marinac: And, guys, along the same lines, are there initiatives you can do with your existing team? I'm thinking cash management and other things with your existing customers that doesn't come into the major expense initiatives, which I know you don't want to do. Are there things you can do right now to make a difference?
Thomas Cangemi: So, we're going to be as active as we possibly can to lure our current strong customer base to do more banking business with us. We're not going to tell the marketplace that we are the business bank consistent with some of the models out there. That's not who we are. Our efficiency ratio reflects that. We're not changing the culture of the bank overnight. But, clearly, we have very substantial relationships that should be doing more business with the bank and we expect the deposit from it. That's been a push. We've been somewhat successful, but that hasn't been material to the company. We'd like to see some better results in the go-forward quarters and years ahead.
Christopher Marinac: Sounds great, Tom. Thank you so much.
Joseph Ficalora: You're welcome.
Operator: Thank you. Our next question comes from the line of Ebrahim Poonawala with Bank of America Merrill Lynch. Please proceed with your question.
Joseph Ficalora: Ebrahim, you're back. You start and you end with us. Good.
Ebrahim Poonawala: And sorry if I missed this, just wondering if there was any update on the consolidation of the commercial bank charter and are we moving on or are we waiting to see what happens with SIFI before taking our next steps?
Joseph Ficalora: I think the process is in the hands of others. We've done all that we need to do. We're not expecting to do anything additional here. This will evolve depending on the activities of other people.
Ebrahim Poonawala: Got it, thank you.
Joseph Ficalora: You're welcome.
Operator: Thank you. Mr. Ficalora, there are no further questions at this time. I'd like to turn the call back to you for any closing comments.
Joseph Ficalora: Thank you again for taking the time join us this morning. We believe that we had a good quarter and are laying the groundwork for a solid performance in 2018. We look forward to chatting with you again during the last week of April when we will discuss our performance for the three months ended March 31, 2018. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.